Didier Michaud-Daniel: Good morning, good afternoon and good evening to everyone. Thank you for joining Bureau Veritas Full Year 2021 Results on the webcast and on the call. François Chabas, our Group CFO, is here with me to present our results. I am really pleased with the results the group has delivered for 2021. The year was by no means simple. All our teams have once again demonstrated great agility and reactivity. We started 2021 with lockdowns in many countries, and this continued on and off for the year. We were also faced with a cyberattack late in the year from which we were able to defend ourselves effectively. We took the decision to close our servers down as a precaution. That had a marginal short-term impact on our operations in Q4. On the commercial front. On the commercial front, we have worked closely with all our clients as they faced a variety of challenges, and we continue to offer innovative new solutions. We continue to build for the future and recruited around 15,000 new talents in 2021.  We have continued to operate on a crisis management mode, and still today, as we speak, some regions continue to be affected by the pandemic. We continue to take measures to ensure the health and safety of all our employees. Employee safety is an absolute priority for the management team. All safety measures have been deployed in Ukraine to help and protect our employees and their families. I would like to thank and congratulate all our teams around the world again on the remarkable work accomplished over this period. They remain highly mobilized and proactive.  Before talking about our financial results, I would like to highlight BV's CSR performance. Our ambition is to be the ESG leader in the tech industry. In 2021, we increased the stewardship in ESG. We have been awarded two 2021 Sustainability Awards by S&P Global. We have also entered into Euronext CAC 40 ESG Index, which identifies the 40 companies that demonstrate the best environmental, social and governance practices. These recognized our efforts in structuring our global approach regarding CSR, and I am confident in our ability to keep improving. To do so, we are committed on five key indicators with a 2025 ambition. First, health and safety is an absolute. Our CSR indicators, as regards to the number of accidents, are showing improvements, and we keep moving in the right direction. Second, diversity and inclusion. Diversity and inclusion is key. The proportion of women in leadership positions has increased in 2021 towards our ambitious 2025 target of 35%. Third, as far as environment is concerned, as a services company, we will do our part and commit to reducing our CO2 emissions in a meaningful way. Fourth, training our people. Training our people to attract and develop our talent is also critical in managing our business. We reached nearly 30 hours per employee in 2021. And lastly, regarding better business practices, ethics is an absolute. Looking at the full year 2021. We have delivered an impressive set of results. The strong growth in revenue, margins and cash illustrate excellent operational and financial performance across the portfolio. Revenue totaled €5 billion, up 9.4% organically. Driven by the excellent operational performance, adjusted operating profit rebounded by 30% year-on-year to €802 million. This translates into a margin of 16.1%. Adjusted net profit progressed by 69% to €481 million. The EPS broke the €1 level, reaching €1.07 per share, a record level. Cash generation was strong at €603 million, reaching a 12.1% revenue conversion ratio. As a consequence, we closed the year with much lower net debt and a reduced net debt-to-EBITDA ratio of 1.1 times. It is the lowest level since Bureau Veritas IPO in 2007.  Thanks to this performance, we will be recommended to the AGM a dividend of €0.53 per share, up 47% year-on-year.  In 2021, we posted strong broad-based revenue growth. This performance illustrates the successful deep transformation that the group has led since 2015. More than half of the portfolio strongly recovered, up 13.3% organically on average. This includes consumer products, certification and buildings and infrastructure, with organic growth ranging from 11.8% to 15.7%. A fifth of the portfolio industry delivered 7.5% organic revenue growth in the year with intense business activity for the Power & Utilities segment, including renewable energies. Less than third of the portfolio grew at 4.3% organically on average. Here, we talk about Agri-Food & Commodities and Marine & Offshore.  Worth noting, the rebalancing of the portfolio, both geographically and bioactivity. We now fully benefit from our diversification strategy. In addition, as a matter of fact, the dynamism of our portfolio is further supported by the trends from our green line of services on which I would like to focus. Sustainability passed a significant milestone in 2021, with sales of above 50% from BV Green Line of Services and Solutions. This illustrates how sustainability has become embedded at the heart of Bureau Veritas and is an important growth driver for the future across the whole group. Sustainability assurance is one of the five overarching themes, which constitute the group 2025 priorities. Buildings & Infrastructure were the biggest contributor, at nearly half driven by green building and energy efficiency programs. Social, ethics and governance captures around 22%, and is a key driver for sustainability assurance. And then closely behind, Resources & Production at 20% where renewable energy and supply chain traceability make up the largest part. New mobility solutions only amount today to 1%, but we obviously expect this to rise significantly. Bureau Veritas is particularly well-positioned to benefit from the tremendous growth opportunity that represents sustainability. The drivers are numerous, and with our expertise, we support our clients to meet their challenges all along the chain for all sectors of the economy. We play a key role improving the impact of our clients' ESG actions by making them trustable, visible and reliable. We are the only company, combining the full spectrum of expertise with a global footprint. From resources and production, to consumption, during the construction and refurbishment phase of buildings and infrastructure, or in the field of transport, and, of course, their CSR strategies for employees and all stakeholders where we have launched a specific solution called Clarity. In 2021, these services have been expanding and deployed across the whole organization to become a fundamental part of BV's client offering worldwide. A few examples. Many exciting projects across all sectors, thanks to BV's ability to deliver a huge diversity of services. In the resources and production sector, we helped Andes in Latin America, a provider of services to the mining industry, to reduce its carbon footprint through the implementation of green processes for its industrial assets. We also support Orsted, full site and construction management services to develop 580-megawatt wind and solar energy center. In the Consumption and Traceability area. We had one of the leading European apparel retailers to verify the integrity of its cotton products supply chain. In Buildings and Infrastructure, we supported the Media Group, China's largest home appliances brand, to meet its carbon neutrality goals. We deliver building energy efficiency verification across its facilities in China. In New Mobility, we are involved on all the three gigafactory projects being developed in France for Renault and Stellantis, providing site safety services, technical control and supply chain audits.  As regards Social Ethics and Governance, Bureau Veritas is supporting Danone on its CSR commitment. We perform independent verification audit of its marketing practices in Africa against the Danone policy and the marketing of milk substitutes. I could have shared hundreds of examples of projects showing the deployment of the EBP. This now brings me to our latest suite of solutions, Clarity. Clarity has a clear objective: create trust in our clients' sustainability commitment. Companies are committed to their ESG achievements to their stakeholders, their shareholders, their boards and their clients. Until now, they were self-declaring on their achievements. Their stakeholders are now asking for a third independent party control to assure that their achievements are real. This requires presence on the ground, close to their operations associated with top-notch expertise. This is the only way to avoid what we call greenwashing. BV, BV's unique solution helps companies manage their ESG strategy, measure performance and track implementation. Operationally, we see how this works on the next slide. It is a la carte solution. Through field audits, we bring the added value of our teams and experts around the group. Here, which I call out compliance and identify where efforts needs to be focused and consolidate the data with digital dashboards. Since the launch, we are gaining strong traction. We are already delighted to be supporting clients in the hospitality, the construction and the entertainment markets. And now I would like to hand over to François for the financial and business review.
François Chabas: Thank you, Didier, for this overview on Bureau Veritas' Clarity solution to sustainability. Let me now give you clarity as well on our financial performance in 2021. With revenue up 9.4% on 2020 and 3.1% in 2019, our margins have significantly improved and are close to pre-crisis levels. The improvement is driven by operational leverage, cost control and favorable mix. We delivered a strong free cash flow, thanks to an efficient working capital management, which absorbed the top line growth, even if the preventive IT shutdowns due to the cyberattack slightly impacted invoicing and cash collection in the last quarter. This has enabled a leverage ratio of 1.1 times, reflecting the very strong financial structure of the company. Moving to the revenue bridge. We delivered circa €5 billion in the full year 2021 with a headline increase of 8.3%. Organic revenue grew 9.4%, benefiting from improving end markets across most businesses and the return to a more normal operating environment compared to 2020 obviously. ForEx, the marginal impact of minus 1.2% overall. In the last quarter, however, currency fluctuation had a positive 2.3% impact, confirming a reversing trend observed since summer 2021 on the FX. Turning to the revenue growth by business for the full year. As you see all businesses have delivered positive growth and several even a very significant step-up. Consumer Products was the best performing activity, up 15.7% in the year, including 9.5% growth in the last quarter. It was fueled by Asia and the resumption of product launches. Certification, up 15.1% benefited from catch-up of audits, the effect of certain recertification schemes and, as Didier mentioned, strong momentum on CSR certification services. Building & Infrastructure outperformed the group average, with an increase of 11.8% in the year, as it benefited from an excellent momentum across its three geographical platforms. Industry delivered 7.5% organic revenue growth, driven by the power entity segments, including renewable energies. Agri-Food & Commodities growth was supported by very favorable market condition in Metals & Minerals, up 15.8% organically, alongside government services, up 7.5%. The Oil & Petrochemicals segment continued to suffer from reduced testing volumes due to lower fuel consumptions, which was combined with a persistent price pressure. And finally, Marine Offshore was primarily fueled by strong activity levels in the core in-service activity of our portfolio. A snapshot on the M&A front. During the year 2021, we continued our selective and disciplined activity. We added almost €05 million of annualized revenue with six acquisition, notably reinforcing our footprint in the U.S. and in Asia Pacific. They support our strategy development in building infrastructure, renewable energy, consumer product and cybersecurity. A word on the latest acquisition, which we closed end of December and announced in the early days of January 2022. It is a company called PreScience, U.S.-based leader of project management and construction management services for transportation infrastructure projects with a particular expertise on highways, bridges and rail. With $25 million of revenue, PreScience is one of California's leading players. The company as a high gross track record with secure backlog benefiting from growing public infrastructure funding and established client relationships. This acquisition is fully aligned with Bureau Veritas' strategic focus on infrastructure. Looking ahead, the pipeline of opportunities is healthy and we continue to deploy a selective and targeted bolt-on equation strategy. Our M&A strategy will support the group developments in its fine main teams, which are asset lifecycle, sustainability, energy transition, technology, and cybersecurity. Turning to the adjusted operating margin. As you can see on the slide, the increase to 16.1 is largely explained by the increase in organic margin, roughly 280 basis point, scope at a 2 bps positive impact to the group margin, and FX costs 7 basis point. All business activities delivered higher organic margins, thanks to strong and efficient operating performance. Consumer Product, Certification and B&I delivered the best margin improvement as their business have rebounded. Consumer product delivered a healthy 24.5% back to an historical high. Certification, 19% benefited from remote audits alongside strong operational leverage and a positive mix effect. And B&I recovered to 14.3% from 11 in 2020, again, with strong operational leverage fueled by the gross recovery. Now a few key points regarding the full year 2021 results. Adjusted earnings per share broke the €1 level to reach 1.07 up 67% year-on-year, a record high in the company's history. This reflects stronger protein performance, but also lower financial charges with a drop driven by lower debts and lower coupons from the early refinancing, lower income tax expense thanks to a decline of the adjusted effective tax rate to 30.6% mainly explained by the reduction of taxes in France and the release of some tax provision. For 2022, we expect the adjusted ETR to be in the range of 31% to 32%. Free cash flow is slightly down 4.4% at constant currency attributed to the restart of our CapEx investment. And lastly, we continue to improve the balance sheet with net that down again, by further €278 million year-on-year. Moving to a more detailed view of free cash flow. As to be expected with the level of growth we have seen in the year, there is always going to be the flip side impact on working capital. This said free cash flow is still very strong at 603 million. In more detail what could we conclude? First, we have continued with our discipline approach to cash collection, but with a Q4 top line growth and some delays in invoicing and cash collection related to the cyber attack, it is quite normal to see a working capital requirement outflow. However, action plans have continued and led to a structural reduction of accounts receivable as a percentage of group revenue with a particular focus on past dues. We kept working capital ratio at low 6.3% close to the 2020 record level. Since 2016, our working capital ratio has been reduced by nearly half. The operational recovery allow us to restart some CapEx project that were put on all last year, notably for consumer goods activity. CapEx stood at 2.3% of revenue compared to 1.9% in 2020. We would expect these to be in the range of 2.5% to 3% for 2022 to support our future growth. We closed 2021 with the strongest financial structure in the past 15 years. The adjusted net debt stood at €1.05 billion down 29% from December 2020 and down 42% on a two-year basis. Our excellent financial profile at the end of the year result from a strong free cash of €603 million, disciplined M&A strategy with €70 million of spent net of divestment and a dividend outflow of €186 million. So we closed the year with a leverage ratio of 1.10 times down 1.80 times in December last year. As regard with the profile, the average maturity of the group's financial debt is 4.3 years with a blended average cost of fund over the year of 2.3%, excluding the impact of IFRS-16. Our confidence in our financial structures allows us to propose the dividends to shoulder of €0.53 per share for 2021, up 47% year-on-year and payable in cash. This corresponds to a payout ratio of 50% of adjusted attributable net profits in line with the company commitment. So to sum up, the strong financial performance has been delivered, thanks to a lot of hard work from all the team. Bureau Veritas is in a very solid position, and this is in an overall environment that has not always been plain selling, to say the least. Moving now to the business review. Let me share with you the highlights of the full year for each of our six businesses. First, Marine & Offshore. The business delivered a robust 3.3% organic revenue growth in the year mainly led by strong growth in the in-service activity. It benefited from occasional surveys aimed at improving the energy efficiency. The catch-up of postponed surveys in 2020 and the fleet's modest growth and a declining level of laid-up ships. As regard new construction activity, our new orders increase from 6.1 million last year to 8 million gross ton in 2021. The other book at the end of the year is up 15.3% year-on-year. As you know, LNG propulsion is seen today the best transition technology. We have been able to leverage our leadership position in the field through a wide range of services. For Agri-Food & Commodities, the business improved with an organic growth of 4.6%. Within this segment, it is worth noting that our Metals & Minerals business recorded double-digit organic growth across the entire value chain. It benefited from high levels of exploration and mine expansion activity, mainly driven by gold, copper, iron ore and other base metals. We also continue to develop our on-site lab business. Our Agri-Food business achieve low-single digit organic improvement growth was mainly fueled by agri upstream in Brazil, food testing in North America. However, inspection activities continued to be impacted by the pandemic situation. The growth drivers remain robust with some stringent regulation and rising product traceability. Lastly, the Oil & Petrochemicals segment continued to suffer from reduced testing volume due to lower fuel consumption. We continue the diversification push towards more value-added segments, which will bring superior growth opportunities. They include submitted samples, oil condition monitoring or fuel marketing program. Moving to Industry now. Revenue increased by 7.5% organically in the year. By market, power and Utilities remain the key engine for growth for the portfolio with double-digit organic performance, notably Latin America, Europe and Middle East. The energy transition is gaining momentum and most economies across the globe have now set a net zero emission target for the countries. During the year, significant progress has been made in the buildup of our global renewable platform, both through organic investment and M&A, thanks notably to the acquisition of Bradley in the U.S. In Oil and gas, the performance improved. We benefited from the restart of many projects, which were put on hold and from favorable comparables. OpEx services grew double digits. To be noted, this is the first time our Renewable business has overtaken the level of Oil and Gas activities in terms of revenue, an important milestone. For Building and Infrastructure, revenue growth achieved 11.8% in the year, fueled by three growth platforms and notably the Americas. Double-digit organic revenue growth was achieved in construction-related activities, and high single-digit growth in building and service activities. By region, we delivered very strong growth in Americas, led by a 35% rebound of our U.S. operations. It is a combination of a large project management assistance and strong dynamics for data center commissioning services. In Asia Pacific, our high single-digit organic growth increase was led by the recovery of the Chinese operations of 10.6% organically, including a 7.2% increase in the last quarter. So it benefited from the restart of a large infrastructure projects in the field of energy and transportation. In France, finally, the momentum on energy efficiency program services remained strong and contributed to the growth. Certification now. The activity recorded a strong 15.4% growth on an organic basis. This was fueled by a catch-up of 2020 postponed audits in the first semester, the renewable – the renewal story of a number of schemes and strong strength on sustainability-driven solutions. All geographic areas achieved double-digit organic growth. Our sustainability rated services have continued to gain momentum throughout the year growing by 15% driven notably by sustained demand for greenhouse gas emission verification solution. And lastly, for Consumer Products, it's been the best performer within the portfolio this year, up 15.7%. It was led by a large pickup in activity in Asia and China in particular and across all product categories. Testing activities rebounding the most. In the last quarter, revenue increased by 9.5% on an organic basis. In softlines, Southeast Asian countries continue to benefit from a structural sourcing shift out of China. In technology, we experienced a strong momentum in Asia on 5G-related product infrastructure and further investment in test platform. So you can see that we delivered excellent result across all businesses. Now, back to Didier for the outlook.
Didier Michaud-Daniel: Thank you, François. Thank you. So now for the 2022 outlook, the group remains uniquely positioned with the diversity, the resilience of its portfolio, its healthy sales pipeline and its numerous growth opportunities, notably related to sustainability. Based on the current environment, and assuming there are no severe lockdowns in our main countries of operation, we expect to achieve mid-single-digit organic revenue growth, improve the adjusted operating margin and generate sustained strong cash flow with a cash conversion above 90%. Before taking your questions, I would like to reflect paramount on these outstanding results and what they mean for Bureau Veritas. The group has delivered a remarkable performance in a year during which the environment has not always been easy. Our record results with an EPS of €1.07 and excellent cash flow generation bringing leverage close to one gives us tremendous financial strength. This ensures we will continue to make value-enhancing acquisitions to drive top line growth whilst maintaining our strict discipline. Our performance is now firmly cemented in an extremely well-positioned and diversified portfolio. This ensures us agility, resilience and the opportunity to deliver further growth. Our unique worldwide position in sustainability services for Green Line will boost this momentum even further. Thank you for your attention. François and I are now happy to take your questions on the call.
Operator: Thank you. [Operator Instructions] And our first question comes in from the line of Paul Sullivan calling from Barclays. Please go ahead.
Paul Sullivan: Yes, good afternoon, everyone. Three for me, just firstly, on your mid-single digit growth outlook. How can we think about the contribution from pricing and inflation within that, and how easy are you finding it to raise prices and pricing across the portfolio? That's the first question. Then coming onto your margin guidance, can you give us, are you prepared to give us any more color into the sort of the range of margin improvement that we could expect this year, particularly around the areas of out and under performance to note? I mean where will you see likely more margin expansion than in other parts of the portfolio? And then finally, Didier, I don't know if you can comment on the significance of going external for your replacement. It seems like quite a big move for BVI. Any comments there? Thank you.
Didier Michaud-Daniel: Okay. So I'm going to start with the, let's say, 5%, and I hope more than that in term of organic growth. This is, Paul, mainly volume. A bit of price increase, for sure. For instance, and you know the business very well, Paul, we know that in some parts of our business, I'm thinking about mass market in France, for instance, which is 60% of the revenue in France. We can clearly increase our prices. I've tried to think about the inflation by itself. In fact, for Bureau Veritas, we are a service company, so we are here talking about the salaries increase. If you take again, the example of France, which is one of our big revenue within Bureau Veritas, the wages increase is 2.1%. So on top of what we do on the mass market, we are now clearly implementing indexation clauses on large contract. So meaning that we will have an impact already this year, thanks to this implementation. On top of it, I would like to add, Paul, the fact that we, last year, already decided to push our prices in North America because we knew that in North America, because of the scarcity of manpower, we would have to do that. And I can tell you that we have already, and François, some impact – positive impact this year, which is good news. So again, our perspective on growth, on organic growth is to achieve more than 5% organic growth in 2022. On top of it, I can say it because clearly our backlog is – at the beginning of the year is very robust. You want to comment the margin side, François?
François Chabas: Yes. Paul, a quick comment on the margin. Didier started to touch about it a bit. First, when it comes to inflation, let's remind ourselves, inflation for BV when it comes to costs have nothing to see with CPI or the average CPI at 5%, 6%. We are talking salary and, so far, we know already the salary increase for 2022 onwards, and I think we are at half this level. So no real issue here in terms of cost impact. When it comes to, which are the areas where we would see good potential for margin extension. I see at least, I would say two, two of them and, and the potential third. The first two I can think of is building infrastructure, where the year 2021 will still be somewhat impacted by conditions related to the pandemic, and let's hope that 2022 will be softer on that field. And two, our strategy that has guided or as well investment over the years is to expand in this field. And we know, take the U.S. for example, the more we expand, the more we can absorb or fixed cost when it comes to this development of the B&I segment. The second area for opportunity is the industry segment where we've seen a shift between the CapEx Oil and Gas project and the Sustainability project. I think what we believe, together with the year we have – we have achieved now a significant size in terms of teams and skills to address the renewable market. So we would explain that the further – the additional revenue here will be more margin generative than in the last two years where we had to build up those teams. And the third element where I could see upside on the margin is in the Agri-Food & Commodity segment. We believe that on the Oil and Petrochemical segment or subsegment, we've touched the bottom somewhere in the middle of last year. So we should see perhaps a bit of upside, but at least no further degradation.
Paul Sullivan: Thank you, François. And the last question was about?
François Chabas: Succession.
Didier Michaud-Daniel: The succession. Okay. So on the succession side, Paul, thank you for your question, and nice to hear that you feel that I did a good job. Why external? Very simple. I had two candidates inside the company that are not ready yet. So they might be the future successor of my successor, we'll see. But they were not ready yet, so we thought that we had to go externally. It's important for you to understand that this process was smoothly conducted with the Board and with the Nomination Committee, meaning that I was fully involved in the selection of my successor. And as you can see, I decided to go for someone, with the Board, of course, and the Nomination Committee with highly experienced in energy market. Second, international culture. And that was very important for us to have someone who had the opportunity to live in Asia, in North America, and in Europe. And this is the case for Hinda. I'm extremely happy to welcome her, and I'm going to be with her through the end of June 2023. She's an engineer. She is client-centric. She has, I think, all the human competencies and skills to deliver a very good job with Bureau Veritas.
Paul Sullivan: Yes. That's very clear. Just to be very clear, on the mid-single-digit organic growth, I mean, 5%, it sounds like the absolute minimum, therefore, if you're able to put through pricing in addition to that?
Didier Michaud-Daniel: Very clear. Very clear, Paul. I know that one of the few thing that we are not going to achieve any organic growth in 2020; this is just not understanding our business model. We want full front, and Paul, you know it very well. And now in fact, the good news is we are extremely balanced both geographically and in terms of activity. We are less dependent on cycles. And more than anything else, we developed a lot of sustainable solutions. And we are particularly well-placed to go thanks to this market, which is clearly – which has already started to boom, honestly. So – and which will accelerate in the future. So yes, 5% is achievable, and I hope we'll deliver more than that.
Paul Sullivan: Very clear. Thank you.
Didier Michaud-Daniel: Thank you, Paul.
Operator: The next question comes in from the line of Sylvia Barker calling from JPMorgan. Please go ahead.
Sylvia Barker: Thank you. Thanks for taking the question. Could I check on the cyberattack. You've given the revenue number. Could you maybe just give the profit impact and the exact cash impact as well? And then I think you mentioned that there'll be some further costs in 2022. Could you maybe just elaborate on that? And just last on that point, just on the revenue, I guess, would you see any catch-up in Q1 potentially? Or should we just think about that 25 million as just – it's just gone, basically. And maybe if you can talk a little bit about the start of the year and the trend we are seeing from a revenue point of view that will be helpful? And then finally, on the point that your Renewable Energy revenues are now larger than your Oil and Gas revenues within the industry business could you maybe give us a number for that renewable revenue? And also, just give us an idea of how, I guess that's accounted for? Are there any customer – is there any customer CapEx kind of flowing through the revenue? Or is that all service revenue? Thank you.
Didier Michaud-Daniel: Thank you for your questions. So I'm going to start maybe by the good news. We are off to a good start to the year. I should say, even a very good start. So which is good news. Why? Again, it's because we have a strong backlog. We, as you know, started to implement sales force now two years ago, meaning that I can measure now every day, the level of sales for the company, and the backlog is clearly very robust. So we are off to a very good start, which is very good news. On the cyber attack, François.
François Chabas: Yes. To give you some – perhaps some details, we've published an impact on the year of approximately €25 million on the revenue. Part of it is – last part of it will be postponed. Simple examples that you get it in some of our laboratories where we are on each and every sample facing competition, and the client has the ultimate choice. Then when we say to the client that for internal reason, we had decided not to serve it, then it went to someone else. However, it is to be noticed, we haven't lost any single client and they have resumed working with us on the new coming sample, sorry, starting January 1st as we've reopened some of our most effective laboratories. So a part of it is – last part of it is postponed to Q1. On the margin side, I think we could say that the drop-through is above 50%. We've managed with the operational teams to try and mitigate as much as we could, and you see our full year numbers have remained very strong. And as you know, I mean, I won't be able to go into more details, but we are currently discussing with our insurance – or insurers, sorry, an expert to find a way to compensate for part of it. This is – it will be a long process. Those things require a lot of analysis, as you may understand, and a lot of discussion and exchanges. So we would perhaps able to say something more at the end of H1, but not before.
Didier Michaud-Daniel: Thank you, François. So on the renewable side we really decided to accelerate two years ago, as you may know, and we discussed it before, we established technical centers in Europe, in Asia and also in North America. Thanks to that, the renewables business, purely renewables. I'm talking about wind farm, solar farm, nuclear is already above €130 million, which is a fantastic achievement because again, we started to refocus our attention on it two years ago. There was a question also, if I understand well, on Oil and Gas revenue. As you know, and this is a decision we made in 2015, we thought and we decided that we did not want to be exposed as we were in the past to CapEx Oil and Gas. Obviously, we are still a leader in this area, and there will be some CapEx, and we will take a part of it, that's for sure. But today, to give you an idea, it is less than 2% of group revenue when it was something like 12% when I joined the company. So if there are opportunities we will take them for sure, as long as we can clearly deliver first a good service. And second, with, I would say, prices at the level where the prices should be today regarding Oil and Gas CapEx.
Sylvia Barker: Thank you very much. Can I just sneak in just a follow-up on the cyberattack, if possible. Is it possible just to get the cash flow impact as well? Obviously, that's within your working capital, but if it's just possible to split out, that would be great?
François Chabas: There is a limited cash impact. As you know, the attack has happened on the 21st of November, so in terms of our capacity to issue invoices, of course, we have been affected, but let's make no mystery about it. It's not because we issue an invoice at the end of November or early December that you get paid in the same year. So this is not exactly where we had the most impact. The most impact was more on the fact that some of our internal processes to ensure cash collection of existing priority issued invoices have been affected. We haven't really so far put a number on it, but I would say it would not be a, let's say, a mistake to believe that we are talking here about something which is below €10 billion in terms of net impact.
Sylvia Barker: Okay. Perfect. Thank you.
Didier Michaud-Daniel: Thank you for your questions.
Operator: The next question comes in from the line of Julien Fouche calling from Societe Generale. Please go ahead.
Julien Fouche: Hi. Good afternoon. Just a couple for me, please. Firstly, one follow-up question on your replacement. You mentioned the experience of Hinda Gharbi in the engineering sector. What has driven the decision to hire someone coming from this sector rather than the tech sector? And secondly, you mentioned a strong momentum for sustainability solutions across your entire portfolio. Would you be able to quantify the difference in terms of organic growth between the ESG-related solutions and, let's say, non-ESG related? Thank you.
Didier Michaud-Daniel: Okay. Your first question first. In fact, when I met several candidates with the Nomination Committee and the Board, we decided to select Hinda Gharbi not because she's coming from the energy sector, but because of her skills, competencies and quality. She seems to be a great leader. She has already – she has operational background, but she also moved in HR. She moved in EHS, so she knows these two parts of the business very well. On top of it, she worked in Asia. She knows China very well. She worked in the U.S. She knows the U.S. very well. And she knows Europe. So it's more the profile that anything else. By the way, as you know, personally, I came from Otis, the elevator business. It was not a tech company, and I hope that you feel that I did a good job. So again, the idea of bringing Hinda, and I'm sure she's going to deliver a very good job for Bureau Veritas, is more a personality, which is going to fit Bureau Veritas very well. For instance, we have a value at Bureau Veritas, which is ambitious and humble, and I feel that she's really fitting this value. The second point is on sustainability. The sales at the end of last year of 55%, 55% of our sales were coming from sustainability. So it – because why? Because Bureau Veritas is about safety, health, quality and environment. So this is somewhere our DNA. So you imagine that quantifying the purely – the growth on sustainability does not make real sense. But now, if you look at the certification side, because we should do that business by business. Clearly, on certification today, on the sustainability part, you have something like 15% goals coming from new schemes linked to sustainability. And again, this is something that we could measure business to business. Let's take another good example, Building and Infrastructure because we are the only global leader in B&I. In B&I today, we have our experts working as they were doing in the past on, for instance building renovation. On top of it, now you have new norms, new regulations, or commitments from some companies to save CO2 emission. And in this case, our experts are trained to deliver these services on top of what they deliver. Clearly, it will keep accelerating. And again, we are uniquely positioned in the tech industry to deliver all across what we call the Green Line.
Julien Fouche: Thank you. Thank you, Didier.
Didier Michaud-Daniel: Thank you, Julien.
Operator: The next question comes in from the line of Rajesh Kumar calling from HSBC. Please go ahead.
Rajesh Kumar: Hi, good afternoon. First question is on organic revenue growth. Earlier in responding to Paul's question, you very clearly said that if inflation was higher then you would have to raise prices to reflect that. Just thinking through the mid-single-digit organic growth guidance. What changes with inflation rates that you would move the growth guidance to high-single digit from mid-single digit? And then is the current rate sufficient to get you to high-single digit? Or do you need inflation to be higher than what we have right now? The second question is on the recovery, where we are on the recovery path in the post-pandemic world. You clearly talked about very interesting new areas of revenue. Which businesses have not yet recovered? Or what part of your businesses haven't recovered to pre-pandemic levels yet. And what sort of path do you see in those businesses? Would they be margin dilutive when they recover? And then finally, the seems to be quite a lot of consternation around Ukraine at the moment, understandably, could you give us some color on the decree of direct or indirect exposure you can identify to that situation please?
Didier Michaud-Daniel: You take the last question, François and I will take the first two.
François Chabas: Okay. So on Ukraine, our exposure when it comes to numbers is less than 0.5% of the group revenue. And if you take Ukraine and Russia combined, we are below 1% in terms of revenue, and so nothing material to the group numbers all together. When we take to give you a full vision, even taking the countries of Eastern Europe or together including Russia, Ukraine, we are below 2% of group revenue.
Didier Michaud-Daniel: Okay, thank you François. On the recovery side, the only business which has not recovered yet is all on petroleum testing business. So we will see what's going to happen but of course, with the oil price moving to around $100 a barrier, we can imagine that this market will resume but we did not see it in 2021 and we did not see it in 2020. So we are still down to 2019 on this business. On the organic growth, your question. So clearly, I stand to our outlook. It's too early to factor in, I'm talking about the inflation. Again, BV is not impacted by the CPI overall. In fact, inflation remains limited to certain countries and businesses, in particular, the U.S. of course just because of the scarcity of manpower. But elsewhere, we can really control it. So we will see what this year will be, but today, again, thanks to the potential leverage that we can get from the fact that we will grow more than 5%, we will be proactive in not just protecting the margin, but again, as François said, improving the margin in 2022. So, I said more than 5%. We will see along the way. January was quite good, François.
Rajesh Kumar: Thank you. Thank you. Appreciate it.
Operator: The next question comes in from the line of Neil Tyler calling from Redburn. Please go ahead.
Neil Tyler: Hi, good afternoon. Thank you. A couple left for me, please. Turning back to the renewables activities within industry, when you look at your sales pipeline and also how you're allocating resources, can you give us your perspective on what that percentage of renewable activity looks like in three or five years time, please? And then, going back to Paul's question on the margin improvement, you anticipate as the resources that you put in place are better absorbed? Can you expand on that to explain whether those activities are sort of above or below average margin currently? Namely, do they sort of move up to the average? Or do you think that they actually ultimately lift the group average quite substantially? And then more broadly, and I suppose – sorry, apologies for yet another question on the group outlook and guidance. You've framed the numerous exciting opportunities coming from sustainability in all manner of areas. But given that the overall outlook is largely unchanged from that that you've given in the past and that you've delivered in the past, and I accept that there may be some conservatism in that. Can you talk about those areas of the business that are holding back the group average growth over the next few years and how strategically you're tackling these areas? Thank you.
Didier Michaud-Daniel: Okay. Good question. So Neil, very business-oriented. On the margin improvement. So strategically, for instance, we have decided to move to infrastructure in the U.S. We know that infrastructure in China is delivering a margin, which is above the average margin of the company. It's the same story for the U.S. Why? Because when you move to very technical, and clearly, I'm talking about technical projects, which require a lot of expertise. Of course, the margin is higher. So clearly, the B&I business, and François said it before, the B&I margin should improve. As long as we become bigger, not to talk also about the OpEx because, as you know, on the OpEx, if you go in a building to do technical inspection and you do the same for the building next to it, we are talking here about density, of course, we improved our margin. The good news is B&I is our biggest business within Bureau Veritas in terms of revenue.  So when you achieve the critical size, it is the case, for instance, in the U.S. now, where we really grew a lot last year in B&I, and we will do it again this year, of course, you improve your margin. On your first question on renewables. Further sales pipeline is huge. You have several opportunities. You can see it. It's true all across the world, wind farms, solar farms, but we also work a lot on hydrogen. Hydrogen, as we know, will need a lot of regulations. And Bureau Veritas is fully involved and working already on these regulations, not just in Europe but also in the U.S. and in China, we are part of committees who are defining these regulations for the future.  And last but not least, the nuclear energy. We are today one of the leader, and might be the leader, in inspection in nuclear energy. And we know, for instance, in France, there will be a lot of EPR, which are going to be built, and some other in Turkey and some other countries in Europe. So clearly, we have an opportunity there to help our clients on safety, technical expertise and so on, on the nuclear. So renewable is on the agenda of all of our clients, and what is interesting on top is that our traditional clients, in particular, the one who are in oil and gas. The oil and gas companies, they are transitioning to low carbon, and they are investing a lot today in renewables. We work with them, so we accompany them. The last question was about sustainability and the group outlook. François, maybe you would like to answer this one.
François Chabas: Regarding the last one, it was about the, I would say, the guidance in terms of organic growth. And as you say, you believe there is some conservatism in it. I think together with Didier and with the IR team, I think we are working and trying over the last few years to give you credible information and not to disappoint the market, so then I'll let you interpret the way you want. But I think your statement was the right one. It's obviously early in the year. There is a lot of opportunities. What has been holding us back a little bit in 2021, I see three elements. The pandemic. We are now in 2022, but let's remember a second the situation last year. We still had the Delta virus in many places. So let's hope in 2022, it won't be the case. What has been holding us back is cyberattack. Let's hope it won't be the case again in 2022. We are well prepared now. And third, I've mentioned the Oil and Petrochemical Testing business, which is clearly the one that has been suffered. And you mentioned rightfully so, it hasn't recovered yet. So if there is one point of weakness in the entire portfolio, that's the one here. Again, we're in February, it's early to say. But if all winds are blowing in the right direction, I think we are very confident with this guidance.
Neil Tyler: Thank you. I was sort of trying to frame the question more slightly beyond this year because at the Capital Markets Day, you talked about a similar level of growth over the next few years. And given the sales pipeline suggests strong growth in the new – in many areas, I suppose, on a two, three-year outlook, which businesses do you think would be under indexing in terms of growth? And then how are you addressing those?
Didier Michaud-Daniel: Yes. I mean we – I think that we clarified your question in the strategic meeting that we had together in December. Mid-single digit a range we committed with our strategic plan to deliver mid-single digit from now to 2025. And again, is it prudent or conservative? As you said, this is your call. What I can see clearly is the fact that Bureau Veritas platform is ready to go. And it has never been what it is today, in the sense of there is no more restructuring. This job has been done. We diversified the portfolio. This job is done. We have the sales force I needed to grow the business. This job is done. Now it's about accelerating the momentum knowing that the market is, in particularly – in particular, sorry, the sustainable market is growing extremely fast. So now it's capturing the opportunities to deliver at least what we committed on for our plan in 2025, meaning mid-single digit as a range.
Neil Tyler: Thank you. Thank you for clarifying.
Didier Michaud-Daniel: Thank you.
Operator: The next question comes in from the line of Geoffroy Michalet calling from ODDO BHF. Please go ahead.
Geoffroy Michalet: Hi, thank you. Two questions from me. Coming back on the margin again, could we go a bit deeper on the, let's say, relative bit versus the consensus of the Consumer and Certification division? And maybe not a miss but a weaker result on the B&I business so that we could understand better. Second question is more, let's say, short term. Did you get a lot of incoming calls from Board members since the [indiscernible] story? Thank you.
Didier Michaud-Daniel: Sorry I missed your…
François Chabas: [Indiscernible]
Didier Michaud-Daniel: On the second question, nothing special to answer. On the margin, François?
François Chabas: Yes, on the margin, on CPS and B&I, right? And I think to enter, I've got – the line is not extremely good, but I'll just repeat what you asked for. Correct me if I got it wrong, right? So on the B&I, you kind of indicated that the margin was or is a bit lower than consensus would have expected. Here are two things. I'm not sure if you're talking 2021 or 2022, so let me answer both. I'm sure I will get your point. On 2021 clearly the COVID, especially in Europe has had an important impact in the last quarter by having simply people off sick, in a sense, and disturbing the operational efficiency. We've seen that throughout the year. I think I've repeated many times here and in various publications. It hasn't brought the whole thing to a stop, but it's making the way we deliver the service less effective. When we look at 2022 onwards, I think what we are trying to achieve is a good balance between growing the business, especially in geographies where we don't have the critical size yet, the – we just achieved critical size in the U.S. in a sense, in some states. But actually, many others in the U.S. who are not even there. So we know that every time we enter a state, there is a cost to it in terms of margin. There's no doubt about it. We've seen it in the past in China, which is now doing very well. We are going through the same path in the U.S. Where we are, we have the mess, but there are many opportunities, and I think the group is trying to mitigate between entering rapid development while getting a decent margin improvement. Perhaps not, as you say, the speed of the consensus on this segment for 2022, but I think we believe this is the right choices we are doing in terms of expansion. When you look at CPS, which was your second question, for 2021, perhaps it's a very strong margin. It's a very strong margin. You may remember that we've made some drastic changes in 2020, which has proven beneficial. It's been a very strange year, 2021, for consumer products. I could speak about it for hours. We had some time in the year where all the tests were shifted out of India, Pakistan, Bangladesh back to China because Delta was in South Asia, then we got reverse back.  So an incredible year, and let me convey a special message to the CPS teams. They have done a tremendous work in protecting the margin and achieving the level they have achieved. It's exceptional. Here on CPS, and we say it as early as mid last year, we are on our way to diversify. We are on our way to reinforce the Bureau Veritas' presence on this market in this segment, which will mean more investment. I think I have mentioned that we want to increase at the group level our CapEx effort. The bulk of it is on consumer product, which may dilute a little bit the margin for 2022, more in the range of 20% and 25%. But again, I think this is a very profitable business for Bureau Veritas. It's a business with long-standing opportunities, and we want to really develop, diversify both geographically and in terms of segment by reinforcing the technological part of it. And I think that were your two questions. Correct me if I missed one of them.
Didier Michaud-Daniel: You said 24% François.
François Chabas: 24%.
Didier Michaud-Daniel: Because I heard 20%, so it's 24%.
François Chabas: 24% for 2022.
Geoffroy Michalet: Okay. Great. Just coming back on the offer. I was not mentioning call from board member over there but from board members from other companies that may be worried about the ESG issue of their reporting.
Didier Michaud-Daniel: I cannot comment on other.
François Chabas: No I think it’s…
Didier Michaud-Daniel: I think – no. I think I know what you are talking about, but this is showing that on one side, you have the rating agencies, and in this case, it is purely self-declaration. It just shows that now you need independent companies like Bureau Veritas to go on site, inspect, audit and test to be sure that the processes, the regimentation, the norms are in place. I have no other comment on this one.
Geoffroy Michalet: Okay. Thank you very much. 
Operator: Your next question comes in from the line of Arthur Truslove calling from Citi. Please go ahead.
Arthur Truslove: Hi, good afternoon. So a few from me, if I may. So the first one was just on Clarity. Are you able to give us any idea of how significant you think that revenue opportunity is from that, say, for example, by 2025, which obviously the year you talked about previously? Secondly, on the petrochemicals trading side, you've obviously talked about pricing pressure last year, and I just wondered how you expect pricing to evolve as volumes sort of properly come back, which hopefully will happen in 2022? And indeed, if volumes do recover in that business, how close do you expect revenues to get to 2019 levels? Or indeed, do you expect them to exceed them?  And then finally, I noticed in your Marine business, there wasn't a huge amount of organic growth in – there wasn't any organic growth in Q4, obviously due to tough comps. And I just wondered when you're expecting the kind of strengthened orders to hit revenues? Thank you very much. 
Didier Michaud-Daniel: So, on the Marine – thank you for saying it. You are right. In fact, I joined the company in 2012. It's the first time – it's a record level, clearly, in terms of sales because we achieved 8 million gross ton, first time in the last 10 years, so it's a very good news. Of course, between the moment you get these sales, and it's another very good news on very technical and technological ships, it takes time. It's good news because it's more revenue. It's also more margin because, again, you need more expertise. So, meaning that from Q3 2022 onwards, we should start recording good revenue in the Marine division. On the Petrochemical side, the market has not resumed yet. When it does, clearly, as you know – we are talking here about lab business, so the margin will move up. At the moment, it's still at a very low level. But again, when you get more volume in your labs, you improve your margin. We will see what comes this year. I can tell you that the demand is still very low, for instance, with jet fuel and so on.  What we decided to do is to diversify again. And now we are going, for instance, to organic type of fuel. And we know that this is a development again linked to the Green Line, which is going to accelerate in the future. On Clarity. Clarity will go, and is one of the many bricks of our offering in sustainability. We are really uniquely positioned within tech, with larger footprint geographically and from an expertise standpoint, of course. Because we can deliver already inspection, certification and audit and even testing everywhere in the world. For instance, we have a very large client, and I'm very happy about it, I cannot mention the name yet, where they gave us the opportunity to inspect and audit all, and it's a big client, I can tell you, all suppliers on ESG commitments. And we can do it because of our worldwide footprint, also because this is the expertise of Bureau Veritas. So, giving you a precise number, it's too early. We are at a stage where we launched Clarity, and we have already some – and we recorded already some good wins, which is good. And this is something which is going to accelerate. But now if you think about the market by itself. The market is just huge because, again, safe declaration is not going to be enough. The pressure will come, for sure, from shareholders and from Board. But more than anything else, the pressure will come from consumers. And this is not going to be an option. In fact, companies will have to prove that what they committed on was achieved. It's a question of trust, and, of course, Bureau Veritas is going to reestablish trust between final consumer and companies to avoid what we call green washing. The market. I am absolutely convinced is at the beginning, but it's going to ramp up at a very high speed because this is not an alternative. You can see it already. And again, I don't want to mention a standard or another, but you can see clearly that this is not an option. On top of it, CEOs, I am, by the way, one of them, are incentivized on ESG achievement. So declaring to rating companies will not be enough. The Board are going to ask the CEOs to prove that what they are declaring is true. And it's the reason why, clearly, with Clarity, we have a great opportunity to help and support our clients, and we start with them. We have 400,000 clients on this very important point, which is ESG. And we want to be the first one on that one, and we want to be a benchmark.
Arthur Truslove: That's very helpful. Just a quick follow-up on the Clarity question. I mean, I suppose the sort of obvious parallels to it is financial audits. How do you think that market size could potentially compare with the market size for audits of your financial statements or its financial statements globally, I should say?
Didier Michaud-Daniel: If you look at the main companies today, I'm talking about the biggest one. If you take France, the [indiscernible], all of them have commitment, what we call non-financial objectives on ESG. So this is already a huge market because you may know that on the climate change, you have what we call the scope 3. On the scope 3, these companies have to audit and inspect all of their suppliers. So have they committed on achieving ESG numbers, they will ask us, Bureau Veritas, to go and visit their suppliers, which is already the case. And we can do it with Clarity because Clarity is a perfect tool to achieve this very important objective that companies – big companies and even smaller now, and more and more smaller one have. So it's a tool that's going to be used, I would say, for the big companies but also for the suppliers. And this is something which is accelerating. Could we compare it, François, to the financial business? As long as companies, we have to report on non-financial. And this is not – this is more and more not an option anymore. anymore. The answer is probably, it's very similar. And last but not least, it's probably important – sorry, it's very important to say that you need an expertise. For instance, measuring CO2 emission, you need experts to do that. And this is clearly the type of service that Bureau Veritas is capable to deliver.
Operator: Thank you. The next question comes in from George Gregory calling from BNP Paribas. Please go ahead. 
George Gregory: Good afternoon. Two questions please. Firstly, just on consumer. I began to dig into the fourth quarter performance. In the statement. You called out a strong end to the year in softlines and also a weaker performance in technology where, in particular, you called out some contract terminations in Europe. If you could elaborate on both of those trends, that would be helpful, please.  And secondly, just sort of wrapping up perhaps the various trends. I wondered if you could perhaps give some indication as to how you expect your various divisions to perform this year relative to the group average growth rate of around mid-single digit? Thanks.
Didier Michaud-Daniel: Okay. So I'm going to leave you the opportunity to answer the first and maybe the second question, François.
François Chabas: So on Consumer Products. First of all, rightfully, you mentioned the very good growth in Q4 driven by the softline activity. I think we should not draw too many conclusion on Q4 only. It's been, as I said, an incredibly strange year for consumer product. Overall, the business has recovered 16% almost with large swing between our two main platforms, South Asia and China. The way we read the Q4 numbers on softline is more that our clients are resuming, I don't dare to call it normal activity, considering the year 2021, but I would say they are resuming product launches, and we are here and they trust us, so there is a bit of catch-up in there. That's for sure. On the technology, again, no conclusion really in terms of do we lose more contract than we gain then. It's a quarterly number. I think the most important thing is the full year and the perspective, which remains very strong. On the guidance by business for 2020, I'm sorry, but we don't provide guidance by business activity. So we will tell you more, of course, about first or Q1 performance and more on H1 numbers.
Didier Michaud-Daniel: Okay. I propose, Laurent, we two more questions, and we will close this very good meeting.
Operator: The next question comes in from the line of Kate Somerville calling from UBS. Please go ahead. 
Kate Somerville: Hi, thank you for taking the questions. I have two on building infrastructure and then one quick one on working capital. So, if we look at Building and Infrastructure through the year, it seems to have slowed versus 2019 levels, from 13% in the first half to mid-single digit. Are you able to sort of split out how much of that first half was catch up? And actually, what you're seeing in terms of underlying trends? And then I suppose on top of that, given that very tough comp, in terms of looking into the first half of this year, that probably implies a very strong acceleration in underlying trends. So what is different about Q1 and Q2 of this year versus second half of last year that makes you confident around that?  And then just quickly on working capital, you've obviously done a lot of work to reduce it to around 6% of sales. In the mid-term, is there any update on where we expect that to get to? Thanks.
Didier Michaud-Daniel: I am afraid that you missed something about our business model. We are going to grow in Q1, okay? And we will grow in 2022. But maybe you could talk to Laurent a little bit more. On the second question on working capital.
François Chabas: On working capital, I think we've done quite work. If you look back over the last three, four years, we've basically cut it into two in terms of working capital to revenue, and it's been done in a very disciplined and proper manner without any access to various pre-financing or any other of such means. So 6.3% in 2021, 6.1% in 2020. Clearly, our objective is to remain within this area. As you know, it will be always somewhat linked to the level of growth, especially the growth in Q4. But make no mistake. I mean our teams are fully committed to remain at this type of level. It's a structural improvement in our processes. It's not an artificial one, so I'm firmly count on the fact that we will maintain this cash culture within Bureau Veritas. And then we see in Q4 last year, if we have an extreme level of growth, of course, there will be a little bit of working capital improvements or increase. But at least that would be for – that would be a good news here if we take the bigger picture.
Didier Michaud-Daniel: So I propose that we take the last question.
Operator: The final question comes in from the line of Tom Burlton calling from Berenberg. Please go ahead. 
Tom Burlton: Thanks for the detail. Just a very quick one for me to conclude. You sort of wet our appetite a couple of times with the comment on the very good start to the year in January. I thought I'd just chance my luck here. Are you prepared to put a number behind that or even give us a sort of steer on order of magnitude? Should we be thinking sort of high-single digit? Is that the inference there, please?
Didier Michaud-Daniel: Good try, though, no? Good try. No, it's a very good try, I must say. But it's a good start of the year, but I'm not going to give you any number. I promise you, the 21 of April for our Q1release, I will give you more color and more numbers for sure. Okay. Thank you very much for… 
Tom Burlton: [Indiscernible]
Didier Michaud-Daniel:  Thank you.
Didier Michaud-Daniel: Thank you very much for participating in this call and for your attention. And good evening to everyone. Bye.